Operator: Good day, and thank you for standing by. Welcome to Telkom Earnings Call 9 Months of 2022. [Operator Instructions] Please be advised that today's conference is being recorded.  
 And now I'd like to hand the conference over to Mr. Ahmad Reza, SVP of Corporate Communications and Investor Relations. Thank you. Please go ahead, sir. 
Ahmad Reza: Okay. Okay. Thank you, Amber. Good afternoon, ladies and gentlemen. Welcome to PT Telkom Indonesia conference call for the 9 months of 2022 results. There will be an overview from our CEO, followed by Q&A after the session. 
 Before we start, let me remind you that today's call and the response to questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projections or estimation and may involve risks and uncertainties that may cause actual results to be different from what we discuss today.
 Ladies and gentlemen, it's my pleasure now to introduce Telkom Board of Directors who are joining us today. First is Mr. Ririek Adriansyah, as President, Director and CEO; Mr. Heri Supriadi, as Finance and Risk Management Director; Mr. Herlan Wijanarko, as Network and IT Solutions Director; Mr. Bogi Witjaksono, as Wholesale and International Service Director; Mr. Budi Setyawan Wijaya as Strategic Portfolio Director; Mr. Muhamad Fajrin Rasyid as Digital Business Director; Mr. Afriwandi as the Human Capital Management Director; and also present the Board of Director of Telkomsel, Mr. Mohamad Ramzy as Finance and Risk Management Director; and Mr. Derrick Heng as Marketing Director.  
 I now hand over the call to our CEO, Mr. Ririek Adriansyah, for his overview. Please welcome Pak Ririek. 
Ririek Adriansyah: Thank you, Reza. Good afternoon, ladies and gentlemen. Welcome to our conference call for 9 months of 2022 results. We appreciate your participation in this call. Ladies and gentlemen, challenging macroeconomic situation after the COVID-19 pandemic easing keeps Telkom to create breakthrough and innovation to keep the overall company's performance in line with the budget. Increasing competition in B2C telco market is anticipated by altering of FMC timeline to select the best business model that will fit both operational and financial aspect for Telkom and Telkomsel.  
 To foster the competitive advantage of B2B digital, IT, telco, anticipate diminishing return on B2C business. We are seriously exploring collaboration in data center and cloud business with Microsoft and Singtel as well as with world-class cloud providers. Our initiative in InfraCo will support B2B and B2C business by providing common connectivity infrastructure, both for B2B and B2C, to achieve CapEx and OpEx efficiency.  
 Lastly, on our B2B and IT digital services and establishment of digital initiative, we'll also diversify our business to capture other opportunity in retail platform and various retail services. In the 9 months of 2022, Telkom's revenue continued to grow at 2.7% with the EBITDA and net income margin at 54.6% and 15.2%, respectively. The performance contributed mostly by mobile and fixed broadband businesses, which grew healthily amidst the unaffordable macroeconomic condition in Indonesia due to the higher inflation and interest rate hike. 
 The more rational competition in mobile industry supported by domination of IndiHome as the main player in fixed broadband business contributed to our revenue growth. Our mobile segment, Telkomsel's strategy to focus on maintaining customers' value and needs resulted in better productive customer profile. Telkomsel's effort to identify personalization of its customer needs is the Competitive advantage and proven to be the right strategy.  
 Telkomsel still maintained healthy growth in revenue by 1.6% year-on-year with EBITDA margin of 37.1% and net income margin stayed at 25.4%. At the same time, our fixed broadband business IndiHome has successfully added 138,000 customers to become 9 million subscribers with highest intake among our competition. With this achievement, IndiHome's revenue contributed to the consolidated Telkom's revenue rates IDR 20.9 trillion with a growth of 6.4% and relatively stable blended ARPU at IDR 269,000.  
 In terms of Enterprise Segment, digital IT services and enterprise connectivity were with the major contributors to enterprise segment growth in 9 months of 2022. Enterprise contributed IDR 13.7 trillion in revenue, slightly declined by 0.8% year-on-year due to the transfer of data center business to wholesale and international business. However, enterprise segment still managed to show significant growth in Q-on-Q by 10.5%. 
 While our wholesale and international business segment posted IDR 11.3 trillion in revenue and significantly increased by 7.6% year-on-year, mainly driven by growing international wholesale voice business as well as digital business, including both domestic and international A2P. One of the parts of this segment is Mitratel, our tower business, the biggest towerco in Indonesia. Currently, it manages more than 35,000 towers with 1.44 tenancy ratio and enjoys site diversification as around 58% of the towers are located in ex-Java.  
 Mitratel is also expanding to fiber to the tower business as part of a strategy to strengthen its product portfolio to become a digital infrastructure company. We were of the view that tower business has the opportunity to grow, driven by increasing demand in cellular data and upcoming 5G technology implementation. 
 To maximize the opportunities and value creation, we implemented 5 Bold Moves strategy. The strategy continued to intensify its effect with some material progress, particularly in FMC, DC Co, and InfraCo as follows.  
 In FMC initiatives, Telkom and Telkomsel are now in the process of finding the best business model that can bring the maximum value to our business, assisted by reputable advisers. We already have features, such as Orbit, our fixed wireless product, and Smooa features that show our capability in integrating our fixed and mobile network. Smooa allows IndiHome subscribers to buy Telkomsel internet quota under single billing system. 
 Our Data Center and Cloud also remained as one of the areas that become our focus. Currently, we have more than 28 data center facilities, which include both the HyperScale Data Center and Edge Data Center, which are located both in Indonesia and overseas. We are in the process of restructuring our data center business by consolidating the businesses and assets under one entity that's called PT Telkom Data Ekosistem with NeutraDC as the brand. 
 The consolidation process is executed in stages and we expect that the process will be completed in 2024. Our data center business provides several products and solutions, such as shared colocation, dedicated colocation, working room, cross connect, and smart hand, including DC interconnect. The competitive advantage of our data centers are integrated to Telkom network and also global submarine cable network so that we are able to accommodate our customers' future digital business needs, such as edge computing, 5G services, blockchain and other digital solutions. 
 We are also pursuing infrastructure value unlock, starting from tower. We will continue to expand our fiber optic connection, explore new InfraCo business model and infra sharing potentials that will keep our B2C and B2B growth in harmony. This initiative aims at optimizing the consolidated Telkom's CapEx efficiency, quality improvement, and coverage of service. We expect carving out Telco infrastructure assets can maximize the valuation as well as to achieve strategic differentiation. 
 By having InfraCo, we believe Telkom can optimize asset utility and market penetration to cater to telco business challenge, and create business value that meets our investor expectation. Beside these three initiatives above, we also continue our initiatives in B2B Digital IT Services and DigiCo. 
 That‘s the ending of my remarks, thank you very much. 
Ahmad Reza: Thank you, Pak Ririek. We will now begin the Q&A session. When raising your questions, please speak clearly and state your name and your company.
 Operator, may we have the first question please? 
Operator: [Operator Instructions] Our first question comes from the line of Piyush Choudhary. 
Piyush Choudhary: Yes. This is Piyush from HSBC. A few questions. Firstly, on mobile, could you help us understand what is constantly driving subscriber decline. In third quarter, we have seen almost 9.8 million subs decline. And has the subs decline stabilized in the month of October? And why are the trends divergent from peers like Indosat? That's the first question. 
 Secondly, on InfraCo, could you elaborate what is the strategic intent to form InfraCo? What assets would be injected? Would you lease such assets to other operators apart from Telkomsel as well? And if I may ask 1 last question. On dividend, can we confirm that dividends would be paid from normalized net profit? 
Ririek Adriansyah: All right. I'll answer the first question on mobile from Telkomsel. With regards to the declining subscriber base Q-on-Q, it's really an effort for us in terms of consolidation. We have number consolidation. And our main objective is to push healthy conduct and to secure more quality customers. We need to maintain a healthy state and consistently focus on renewal initiatives through our CVM approach to drive productivity of the customers by providing the right pricing and product to customers. 
 So this is really our push to have better quality customers. 
 Maybe to add, from an ARPU perspective, that resulted to a Q-on-Q improvement of our ARPU. That's a lift of 3.8%. So clearly, it validated our strategy to have better customers. 
Piyush Choudhary: So may I clarify, is the subscriber -- this consolidation process likely to continue for some time? And like what will drive a change over here in terms of stability in the subscriber numbers? And if you can talk a little bit about the outlook of ARPU also? 
Ririek Adriansyah: No, we will continue to make sure that we will consolidate and really drive up the quality of customers. And what we are trying to address is really the proportion of value seekers. And so we will continue our efforts in terms of the number consolidation in the months to come. 
Ahmad Reza: Second question. 
Budi Wijaya: Piyush, this is Budi Setyawan for the second question in terms of InfraCo setup. Actually, there are several intentions why we set up InfraCo. The first time because the new regulation on the investment and also infra sharing, it's already established since last year. So there is a regulation that also already supports for the infra sharing. 
 Then if we look on the industry, Indonesian industry actually. The infra sharing also very necessary because it can create more efficiency for the operator also. And then we don't want to miss this momentum also by monetizing our infrastructure. And then we can leverage for the better financial result from the investment on the infrastructure. It is the second.  
 And then the third actually is when we talk about our current infrastructure, there are many potential infrastructures that can be leveraged and shared to get more value from our investment. So it is very important for us to optimize our investment to get the maximum benefit from our investment. And it is very important also for us to lead this competitive advantage in infrastructure that's currently already happening. Telkom is one of the leader on the infrastructure. So it's better for us to lead this competitive advantage by setting up the InfraCo. 
Heri Supriadi: Piyush, Heri speaking here. On the question on dividend. Of course, we will consider the interests of the shareholders, which is to get, I think, capital gain and also dividend yield. On this dividend, we are going to propose the dividend that are comparable to the actually happened in the industry. So we are considering that from the normalized profit. 
Piyush Choudhary: Thanks, Pak Heri for the clarification. 
Operator: Our next question comes from the line of Arthur Pineda. 
Arthur Pineda: Several questions. First, on mobile. Can you talk about your outlook on mobile price increases. It seems like there's been a pause into this quarter, contrary to, I think, what a lot of the operators have been expecting. Is this owing to the weaker economy? Or do you think this is actually going to continue into the fourth quarter?  
 Second question I had is with regard to broadband. If we look at the growth momentum, it's been slowing to around mid-single digits on a year-on-year basis, which seems fairly low considering the low penetration level in this market. Are you seeing increased competition evolve in this stage given the efforts from your competitors? Or is this just conservatism in terms of rollouts. Last question I had is with regard to housekeeping. I just wanted to check, were there any one-off items outside of the GoTo impairment, which was booked in this quarter? 
Derrick Heng: Okay. This is Derrick from Telkomsel. I'll handle the first question on mobile. With regards to what we see in mobile pricing trend, if you look at the last few months, we have really been leading the healthier market direction. We have implemented the right pricing and market repair initiatives. And that has also encouraged the market to stop the unlimited package by our competitors.  
 So if you look at this, the current space, the mobile pricing adjustment, it is in status quo. We are, of course, on the search for optimal level in terms of pricing. We are mindful of the macro conditions and the pricing to maintain competitiveness through potential opportunistic as well as aggressive initiatives. 
Ririek Adriansyah: Thank you, Pak Derrick. I will continue with your question, Pak Arthur, on the decreasing growth of the IndiHome today. We can say to you, yes, as you may be aware, competition becoming, I think, more intense in the fixed broadband. And then I think most of our competitors come with the same or the lower, I think, offer compared to what we do offer.  
 But we do believe this offering is not really healthy. So we are in our awareness and our strategy to not following such trend, to keep our performance still healthy for sustainability of the business in the short run and long run as well. So we are becoming more, I think, selective in choosing the potential subscriber by asking them for, I think, 1 year of subscription and so on. This answer us with a good quality of customer. So you can see the growth of the, I think, revenue in line with the growth of the customer. 
 And also the collection still very good, and then also churn becoming much better compared to people. So it is in our strategy to see this softening of growth with the current situation. We believe in the future, as we are also pursuing fixed mobile convergence, this is going to give us another, I think, way of more efficiency in providing solutions for this broadband. This is going to answer us to be more competitive with good quality and good, I think, quality of subscriber as well. 
 So we still believe that the potential market for home broadband is still very big as we know now, I think, the penetration only about 15% of the household. We still believe there is, I think, at least the same percentage of the market share we can affect. But we're going to do it, I think, more efficient solution to get, I think, quality of business in terms of profitability and sustainability. So that is what we can explain today. 
 On the transaction, one-off transaction, I think as we also explained here, we have one accelerated depreciation of all technology of Amazon, which is basically technology based on the copper that we had in the past. This I think back to investment before 2010, of investment that's not really competitive right now to provide, I think, solution for the broadband. 
 So we do the accelerated depreciation with the amount in IDR 1.584 trillion, almost similar amount what we did last year. But this year, we did actually in the second quarter of this year. So the impact up to right now as compared to last year, but I think all the Amazon based technology has already been accelerated depreciated. So I think that's one of the transactions only that we have as of now. 
Arthur Pineda: So nothing else in 3Q. Is that the case? 
Heri Supriadi: No, no, no, but more to comparison to last year. But in last year, we had in the fourth quarter. So there's no additional in this year. 
Operator: Our next question comes from the line of Choong Chen Foong. 
Choong Chen Foong: Good afternoon. Thank you so much for this conference call. Three questions from me. Firstly, on the mobile business. Just wanted to ask whether -- do you think that there's still some ways to reach the optimum mobile pricing levels in Indonesia? Or do you see any weakness in subscriber purchasing power recently due to inflation that may lead you to post any further pricing initiatives in the next few months? That's question number one. 
 Number two, in terms of the personnel costs, do you think that there is some risk pressure -- upward pressure here to raise salaries and all that in line with the acceleration in inflation in Indonesia? And also, what about the other cost lines, any upward pressures there as well? 
 And then my third question, with regards to the new InfraCo, do you have any -- can you sort of give us a sense of the value of some of these assets that may be included into the InfraCo? And just wanted to clarify here, are there any plans to list InfraCo? And if so, what would be the potential time line for this? Yes, those are my 3 questions. 
Derrick Heng: This is Derrick from Telkomsel. I'll answer your question on the optimal pricing for mobile. So Telkomsel will continue to lead the healthier conduct, and we will consistently drive to ideal state for industry sustainable profitability. We look at competition on ground, the customers' needs, the willingness and ability to pay, as well as the network capacity. 
 So there are a few strategies that have been in place and is validated based on the ARPU as well as the RPMB that has grown Q-on-Q. We have ring-fenced and stimulated high-value customer segments through our CVM initiatives. We have also rationalized the traffic in terms of monetization to improve productivity. Then we also provided a wide portfolio for customers with regards to their requirements. So that is a play in terms of what we can offer in terms of packages, whether it is for [indiscernible] or the value positioning. 
 So in the scheme of things, we look at the telco industry, we are still looking at the opportunity to grab as we see the cellular revenue contribution to overall GDP is below 1% versus in 2007, which is more than 1%, of course, supported by better economic conditions. So we will continue to look at optimal approach to deliver the right pricing, but through awesome best experiences for our customers. 
Heri Supriadi: Thank you, Derrick. I'll try to answer you on the personnel costs. There is some part of the, I think, salary of our employees related to the inflation, but it is base salary, I think, a small part of the total salary. There's going to be an impact, but the impact is quite limited based on the, I think, percentage of the base salary that's going to be calculated based on the inflation rate as well. So that's the explanation for the, I think, personnel costs. There is not going to be any, let's say, spike up that's quite higher on this front. 
 And then in marketing, actually the marketing slightly increased this year compared to last year, because I think with relaxation of the COVID situation, activities that previously cannot be done now can be, I think, carried out. So this makes the marketing costs slightly increased. But as a whole, this marketing increase, as long as general and administrative increase related to, for example, for tripling and so on within our, I think budget within the growth that we can manage. So you can see from the overall, I think ratio of our margin and EBITDA or operating income and so on, still very much, I think, manageable. So that's what we can explain about some of these costs. 
Budi Wijaya: Okay. Thank you. For the InfraCo. Yes, like I just mentioned before, from the [indiscernible] actually, it's one of the regulation. And then the second is to optimize our investment. And the third is to unlock potential [indiscernible] and the EBITDA multiple of the InfraCo is better than telco. 
 Then how about the asset and also time line. Today, we are still under discussion. What is the right strategy in terms of the asset, also timeline? Because this InfraCo initiative will affect it also to other business, that's why it should be balanced. And then the second, InfraCo itself should be sustained and growth because the third intent actually to unlock it will be attractive also for the potential investors.
 So for the IPO, actually, currently, we are not on the plan. Even though there are several scenarios for the exit, not only IPO, but also to attract the PE totally. So we will start with the private investors first, I think, and also the strategic investors. 
Choong Chen Foong: Understood. And is the plan to list the data center assets still on track for next year? 
Budi Wijaya: Yes. Data center, we are still on track in terms of the consolidation, also in the new development. So we have good progress also in terms of the consolidation and also in the new development. Thank you. 
Operator: Our next question comes from the line of Hussaini Saifee. 
Hussaini Saifee: This is Hussaini Saifee from UBS. Just a few questions. Most of my questions have been answered. Just a few questions. First is, the Smooa base, can we get how many of your subscribers, maybe IndiHome or Telkomsel, on that Smooa base who have the combined billing? That's question number one. 
 And second is on the Orbit side, Orbit revenues, how the revenues are booked? Are they both in the Telkomsel level or are they booked at IndiHome level? And finally, on the fixed mobile convergence, just at the broader level, I wanted to understand -- will marketing the fixed mobile convergence as a product, will it need some kind of bundling discounts which will need to be offered to the customers to take up those services? 
- Afriwandi: This is Afriwandi. On the Orbit revenue book, currently, all the revenue on the Orbit is booked in Telkomsel. And there's no other revenue book in Telkom side. So that's on the Orbit side. On the bundling discounts -- actually on the FMC, the actual plan is not to giving more discount to the customer, but more on the value creation to combine users both on the fixed broadband and also mobile broadband. So the intention of the FMC is not on giving more discount to the customer, but more to create additional values to offer our customers.
 Okay. On the Smooa, we currently don't have the numbers, but we will get back on the numbers to you, Hussaini. Thank you. 
Hussaini Saifee: Sure. Then just maybe if I can ask one follow-up on the InfraCo initiatives. I mean, I understand the positive side of that. But if you open your assets such as maybe fiber, that also can give advantage to your competitors to use those assets and kind of expand their network. So do you see that as a risk? Or do you see that the infrastructure side, even the fiber is highly commoditized and, therefore, it is the right time to open this side of the business as well -- or this side of the infrastructure as well? 
Ririek Adriansyah: Thank you. On this one, of course, one of the objectives of separating the fiber because we see the multiple is different when you see integrated operator with FiberCo only. But FiberCo is supposed to also serve the market. That was the reason they get higher, I think, valuation multiple on this one. So with this regard, of course, we're going to address the market as explained before by my colleague. I think, regulation already allows us to do this one. 
 And also, we have the capacity much, I think, advanced compared to our competitors on this one. And then, of course, there's kind of risk for us whenever we open too fast, I think, in a very massive way of all the things fiber that we have, that's going to increase our wholesale revenues. But in the same time, that's going to also provide some risk to our, I think, mostly consumer side of our business. Of course, we need to balance both of, I think, businesses to get the maximum valuation on this one. So we're going to be very selective as well on this one to consider all the aspects in order to get the maximum value. That's, I think, the kind of initial thing that we can share with you. 
Operator: [Operator Instructions] Next question is a follow-up question from the line of therapy Arthur Pineda. 
Arthur Pineda: Sorry, just one follow-up, please. With regard to product bundling between mobile and fixed, how can you go about this considering that majority of your mobile users are prepaid in nature. What can you do to actually tie them in together? 
Heri Supriadi: Okay. Thank you. Maybe before Pak Derrick answering you on that one, we have so-called high-value customer, which is a customer that's quite loyal to us, provides I think biggest chunk of the revenue to us. There, we call basically high-value user, we have quite a complete, I think, profile of them. So we know them, how to address them. With, I think, fixed mobile convergence, we can provide them with a seamless solution technology to get them becoming more loyal to us. So we pretend for long-term value of the company as well as potential to increase, I think, fairly also coming from, I think, combined services.
 In the same time, we also can provide a solution as we see, but I think fixed mobile convergence and cellular can be run in one hand. So this also can provide some potential of course saving. So we address both sides to get the maximum value from this one. I think for Arthur, Derrick can have some more, I think, explanation on this. 
Derrick Heng: This is Derrick and I'll continue. I'll just add one to Harry's perspective. We truly believe the benefits of FMC are really the room for synergy and strengthening our position. Just from our high-value customers, we want to drive loyalty and really an integrated approach to serving them both at home and on the move.
 So to us, the value of the mobile segment is really an ability to cross-sell to the IndiHome base and capturing more share of the household. And that, in turn, would reduce the mobile churn due to the capture from a total household perspective. Then from value from a fixed segment, we want to really increase the cross-sell for broadband to the Telkomsel base. And then, again, we will be able to drive customer stickiness. So all in all, we see this a win-win for owning the customer both at home and on the move. 
Arthur Pineda: Sorry. So can this be cross-sold into the prepaid user as well? Or is it mainly on the postpaid high-value user that you expect to do the bundling? 
Ririek Adriansyah: Yes. Even for the prepaid segment, we are also looking at a high-value group of customers. So clearly, their needs are very aligned to the fixed broadband customer profile. 
Operator: Our next follow-up question comes from the line of Piyush Choudhary. 
Piyush Choudhary: Just 2 follow-ups. Firstly, on FMC. Could you tell us if you have kind of worked out what is the cost synergies, which could come once you integrate IndiHome with Telkomsel? And secondly, on the data center business, can you quantify what is the invested capital in the business right now? And what's the revenue EBITDA or profit profile for the data center portfolio? 
Heri Supriadi: So on the cost synergy side, we actually identified several cost synergies which come from the go-to-market activities that currently go in each of segments from Telkomsel and Telkom. The other part is also the agency of the marketing campaign as well as how we can optimize our resellers in Telkomsel as well as the sales force in Telkomsel. So actually, on that point, we identified several synergy scenarios that can also benefit to the group. The other part is also on the CapEx potential reduction and duplication amongst Telkom and Telkomsel. 
Piyush Choudhary: Can you quantify this? Like what is the amount or as a percentage of revenue of the enlarged mobile and IndiHome? 
Ririek Adriansyah: Okay. So currently, we're in the process of our identification and also calculate more clearly on the numbers, both on the OpEx and CapEx side. But of course, these numbers can be used as the basis of this transaction and also the value add from the FMC itself. 
Heri Supriadi: Piyush, on the question on the invested capital, revenue, EBITDA and profit for the data center business. I think what we see the data center business is supposed to be, I think, similar to what is the benchmark that we see in the market. Currently, in Southeast Asia, I think the investment needed for 1 megawatt of data center capacity is around USD 12 million, and EBITDA is supposed to be around 40% to 50% of EBITDA, whenever we reach the optimum, I think, utilization. So I think accordingly, it's going to be also profitable in the bottom line for us.
 So for example, our data center in HyperScale, we are not using all the capacity yet. Of course, if we ever compare to what we have the benchmark globally, it is supposed to be lower. But whenever the capacity already didn't utilize in full, I think, capacity, it is supposed to be comparable to those, I think, in the benchmark. So that's, I think, what we believe in the data center. 
 We also see the potential of the market. This can be coming from the HyperScale, coming from, I think, some digital company, government and so on, their businesses are very promising. So that we can give you, think, a figure of how a data center business is supposed to look like in the upcoming years. 
Piyush Choudhary: Like, is it possible to quantify what is the current revenue contribution of data center to your business? 
Heri Supriadi: Current revenue contribution of our data center right now around IDR 1.2 trillion as of 9 months. 
Operator: [Operator Instructions] 
Ahmad Reza: Thank you, Amber. Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed yet. So if you have any further questions, please ask directly. Thank you very much. 
Operator: Thank you, sir. This concludes today's conference call. Thank you for participating. You may now disconnect.